Operator: Good day and welcome to the IAC Reports Q4 2015 Results Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Jeff Kip. You may begin.
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: Thanks, Operator, and thanks, everybody, for joining. Our apologies for starting a little late here, we wanted to give everybody some time to get over from the Match call. Welcome to the IAC fourth quarter earnings call. I'm here with Joey Levin, our CEO. Again, Match Group just held their call prior to ours and answered questions regarding their release and prepared remarks. We'll be focusing on IAC, ex-Match, on this call. As a reminder, we are not going to read the prepared remarks which we released last night. They're currently available on the Investor Relations section of our website. Before we go to Q&A, I want to remind you that during this call, we'll discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as, we expect, we believe, we anticipate or similar statements. These forward-looking views are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our fourth quarter press release and our periodic reports filed with the SEC. We'll also discuss certain non-GAAP measures today, which, as a reminder, include adjusted EBITDA, which we'll refer to today as EBITDA, just for simplicity during the call. I'll also refer you to our press release and, again, to the Investor Relations section of our website for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. With that, we'll get to your questions. Operator?
Operator: And we will take our first question from Jason Helfstein with Oppenheimer. Your line is open.
Jason S. Helfstein - Oppenheimer & Co., Inc. (Broker): Thanks. So, I'll start with two; the first, in the prepared remarks, you talked about suspending the dividend. And you talked about priorities and kind of why that made sense from a financial perspective, partially having to do with the leverage and then, some of the investments you guys are making in Match. But then, you also talked about acquisitions and where the focus should be in buybacks. Maybe, just can you help us prioritize, are buybacks more a priority or are acquisitions a priority? And are there any tax issues where could you not buy back stock if you were contemplating a spinoff of Match? And then secondly, on Angie's List, you clearly decided to make your discussions with them public versus you could have kept that private. Maybe just comment on kind of why you did that. And then, maybe give us, since you've made that public, what you think the strategic rationale for merging the two businesses are. Thanks.
Joseph Levin - Chief Executive Officer & Director: Sure. First, thanks, everybody, for switching from the West Coast feed to the East Coast feed this morning and sorry for the delay in between. I think if we are going to have that delay in the future, maybe we should sell the commercial breaks, some ad space and make some money in that. On your questions, Jason, first, buyback versus acquisitions, look, we do both of those things opportunistically. So, I'm not going to say we favor one over the other. At the moment right now, I think there's opportunities in both. And we constantly evaluate one against the other. And we'll continue to do that. There are not any tax restrictions I'm aware of that limit our ability to buy back IAC stock right now. In terms of how we think about acquisitions, there is really two buckets of things to acquire. One is to help or add to our existing business, and the other is totally new businesses. Certainly, our track record in adding to existing businesses is, I think, very strong. And there's a reason for that, which is we know those businesses well. We can evaluate them. We can understand what trends look like, what trends shouldn't look like. And sometimes, we can know those businesses as well or better than the seller or at least certainly better than other buyers. So, we focus capital there and we'll continue to focus capital there because I think we can get good returns. But we also have to think about the long-term future of IAC in the next five, 10, 15 years and we want to start planting some of those seeds now. Those tend to be a little bit riskier, but we're also going to be more conservative with capital there. So, hopefully, that gives you a sense. In terms of Angie's List specifically, the reason we made that public is we talked to the – we tried, at least, talking to the board and the management team for quite some time without much success. And so, we said, all right, why don't we put this out there and see how the shareholders feel. And the shareholders clearly responded that they weren't interested. So, that's really it.
Jason S. Helfstein - Oppenheimer & Co., Inc. (Broker): And how...
Joseph Levin - Chief Executive Officer & Director: So, sorry. And your last question was what was the strategic rationale for the deal. I think that one thing that Angie's List has done a very nice job of is building their brand. They've put a lot of money into that and I think that that has value and that's what we were interested in. But like I said, we put something out there. We tried to engage with them and they weren't interested. So, that's the story. Next question.
Operator: And we can take our next question from John Blackledge with Cowen & Company. Your line is now open.
John Blackledge - Cowen & Co. LLC: Oh, great. Thanks. Couple questions. Could you just walk through the bridge from the $300 million Search EBITDA to the $200 million to $225 million Publishing and Apps guide? Kind of what are the moving pieces? How do we get there? And then on HomeAdvisor, domestic growth was really strong again in 4Q. The guide for 2016 kind of indicates total revenue growth could accelerate. Maybe discuss the drivers there. And then just on Angie's, are you still interested in Angie's? Thank you.
Joseph Levin - Chief Executive Officer & Director: Jeff, why don't you just...
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: I'll take quickly the bridge. In terms of the $300 million, I think the thing you have to realize is that, as we said, about 20% of that, in the remarks, is going to be in Publishing and about 70% of that will show up in Apps, and you have an impact on the Publishing side of some investment that's coming in from The Daily Beast. And then you also have some profit that's moving out in terms of PriceRunner that's going to Other. When you think back the prior year, the $300 million was, call it, $180 million, $185 million and $90 million, and then you had about $25 million of that total impact of Daily Beast investment and PriceRunner profit moving that gets you back to the $300 million. So, I think that kind of bridges the pieces there for you. Want to take the HomeAdvisor question?
Joseph Levin - Chief Executive Officer & Director: HomeAdvisor was, what's driving growth acceleration?
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: Yeah.
Joseph Levin - Chief Executive Officer & Director: So, there's a whole series of things, and many of which we've talked about. Huge investment we've made over the course of 2015 in the brands and television advertising and advertising in general. We, I think, tripled that year-on-year, and we're going to grow that again in 2016. And that has the few effect: certainly build brand awareness, which is great. But it also brings in a higher-quality lead, which is good for the service professionals because it delivers higher conversion for the service pros and better jobs. So, that's one. The second is related and all these really reinforce each other. The investment in the sales force; again, a huge investment in the sales force in 2015, I think we grew that something like 40%-something. And that brings in more service professionals, which brings in more coverage, which makes the marketing more efficient, and also brings in better service professionals. We've changed our sales process meaningfully over time and our sales incentives meaningfully over time, to bring in the right service professionals and retain the right service professionals, which goes to the next thing, which is retention and revenue per SP. With better leads coming in the door, the service professionals hang around longer and spend more money. And so, all those things reinforce each other to deliver real growth for 2016 and we're going to continue to step on those same levers. Meaning, we're going to continue to grow the sales force in 2016. We're going to continue to grow the marketing spend in 2016 and, of course, behind all this is product. We talked a little bit in our remarks about Instant Connect and Instant Booking. We think those are really transformational products for the category, fantastic for consumers and fantastic for service professionals and we can see it directly in the customer feedback. So, we'd like to really grow those products. And so far, the trajectory looks really nice. You want to add something to that?
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: Yeah. I think, the only thing I was going to add is that some of this is mathematical in you had higher Domestic growth in 2015, which should decline internationally because of the restructuring we did, getting rid of unprofitable revenue lines at the end of 2014. And that drag on a consolidated basis is going to go away and give you potential consolidated acceleration. I don't think we expect the Domestic business to continue to accelerate all through this year. In fact, the Domestic business may come in a little lower on a percentage basis, even though it will add tremendous sales on all the factors Joey is talking about. And then I think there was one other question.
John Blackledge - Cowen & Co. LLC: Yeah. Just a question on are you still interested in Angie's List? Thank you.
Joseph Levin - Chief Executive Officer & Director: Yeah. Look, as I said, we put an offer on the table. We attempted to engage with them. They had no interest. In the meantime, things have changed. Market's moved. We have a lot going on ourselves. We have a business to run and we have a ton of opportunity in our business. So, we are focused on our business right now. I don't really have more to say than that.
John Blackledge - Cowen & Co. LLC: Thank you.
Operator: And we will take our next question from Brian Fitzgerald with Jefferies. Your line is now open.
Brian P. Fitzgerald - Jefferies LLC: Thanks, guys. Two quick ones, maybe on HomeAway first, it was strong again, maybe how you think about share shift in the industry? Do you feel it's kind of accelerating towards you? And on what do you attribute that to? Maybe you kind of already answered that, but just want to know if you feel like it's moving in your direction momentum-wise. And then on Vimeo, historically, you've talked about being focused on the user experience, not wanting to disrupt that with any type of advertising. But given the type of content there, we think a simple pre-roll even is palatable for sure. How do you think about the advertising opportunities there?
Joseph Levin - Chief Executive Officer & Director: Sure. You mentioned HomeAway, which is sort of tangentially in the family, but ours is HomeAdvisor. And we do think it's gaining share in the category, but that's almost irrelevant at this point in the sense that the category is so big and so underpenetrated with these kinds of solutions that there is enormous runway before you get into a share shift. But I do think that from a service professional perspective, that is really meaningful, meaning we are starting to see service professionals. We have for a long time, but more and more, these service professionals meaningfully build a business on the back of HomeAdvisor. I got an e-mail from a customer the other day who was saying that the vast majority of their business, a $1 million business in pest control, vast majority of that is coming from us. And they watched the leads from HomeAdvisor to the minute because if it turns off for a day, it makes a difference on their business. So, from a service professional perspective, I think we do see that, but huge runway. On Vimeo and advertising, look, I wouldn't rule it out completely, but it is not a focus right now. And the reason it's not a focus is because I think part of what meaningfully differentiates the user experience and the service professional experience is not having ads. Certainly, YouTube has been phenomenal in that category and a lot of others have come and gone in the video space, or the video aggregator space, with an ad-supported model. Ours is different, and the lack of ads enables a lot of things. It enables a cleaner user interface, again, both for consumers and creators. It enables a different sort of content. When your content has to service advertisers, there's less things that you can do with that content. And sometimes, our content can be a little more interesting as a result of not having to work within those constraints. So, it's not a priority right now. Now, at some point, if our creators say, boy, we'd really like to show ads and we'd really like to have service available from you guys, it's something that we'd think about. But right now, that's not a priority.
Brian P. Fitzgerald - Jefferies LLC: Great. Thanks, Joey.
Operator: And we can take our next question from Ross Sandler with Deutsche Bank. Your line is now open.
Ross Sandler - Deutsche Bank Securities, Inc.: Okay. One for Joey on Publishing and Apps and then a follow-up on HomeAdvisor, Joey, do you feel like with the new agreement, the $1 billion revenue trajectory you called out last quarter and this new $200 million to $225 million in EBITDA should be stable for the duration of the deal, or is it just too hard to predict? And are there any terms in the new agreement that allow for some predictability and do you feel like the stuff that you had to kind of clean up on the legacy business has been derisked fully to support this new EBITDA run rate? Just any comfort there would be helpful. And then, Joey or Jeff, on HomeAdvisor, so the trajectory looks really solid and you called out that you expect to see a strong ramp in EBITDA in 2016 after this big marketing push that you did in 2015. So, I guess how does the strategy to hit that 2016 goal change and how could your strategy in 2016 change from here if Angie's List decides to ramp up their marketing or further competitive responses are needed? Thank you.
Joseph Levin - Chief Executive Officer & Director: Sure. On Publishing and Applications, Ross, I think that we should be able to grow from 2016. I view 2016 as a trough for the business. And this business is not perfectly predictable. It's had volatility in the past, but if you look at sort of where we took the hit specifically on the new contract, it was in the areas that had been the most troubled and that had had the most volatility, specifically the Apps business and the B2B Partnerships business. So, I do think that alone improves predictability or limits volatility to some extent. Now, the other piece I'd add is over the course of this contract negotiation, one thing that Google certainly did was go very deep through all of our products and all of our practices, and affirm the things that we were comfortable with in the contract going forward. So, I feel reasonably comfortable about that. Now, Google's a big machine that moves in a lot of different directions. And you can't eliminate the risk that things change unfavorably to us, but in the scheme of time and in the scheme of recent history, I certainly feel more comfortable and confident now than I have historically, really based on that process of the contract and based on the specific changes that we made in the contract and which businesses were most affected by that. So, you look at the outlook for Premium Brands within Publishing, and Consumer Applications, I think that from 2016, those businesses should grow. On HomeAdvisor and the strategy, look, we are focused on the long-term there. I think I've said that a few times, and I'll keep saying it. We are focused on taking share in the category and growing. Now, we're able to do that with margin right now. And I suspect we'll be able to do that with margin going forward. I don't really worry about other people marketing. I think that, again, it's still so early in the category that the overall category awareness probably trumps kind of competitive back and forth. But the other thing is I believe that the size of our service professional network provides a meaningful competitive advantage, along with our business model. So, for other people to spend on the scale that we're spending, I think it would be very difficult for others to get the same return that we can get on that spend. When we spend our marketing dollars today, all of our marketing dollars today, I mean, aside from the usual experimental dollars, all of our marketing dollars today come at a clear, very clear, positive ROI. And I'd expect that to continue. You want to add to that?
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: No. I think that's right. I think you have to have the capacity to absorb the consumer demand. We have double the service providers anybody else does. And I think if you expand your consumer spending when you don't have the capacity to absorb it, you're going to have unhappy customers because, as we said over and over again, the key to satisfaction in this business for the customer is getting matched with the appropriate service professional. The key to satisfaction with a service professional is having legitimate customers coming through the funnel, so...
Operator: And we can take our next question from Eric Sheridan with UBS. Your line is open.
Eric J. Sheridan - UBS Securities LLC: Thanks for taking the questions, maybe two of the advertising side. One, in pulling up the Publishing business, you talked about the opportunity ahead to capture offline dollars. Wanted to understand better what some of the investments that might have to be made, whether it's ad tech, (20:14) programmatic, sort of you build out scale on the content side to recognize that opportunity. And then going back to the comments on capital allocation, how do you think about broadening out scale in digital advertising and allocating capital to deepen your scale there? Thanks so much.
Joseph Levin - Chief Executive Officer & Director: Sure, thanks, Eric. On technology to specifically support ads, we're making real investment here. We started this actually within Dictionary.com because we had a product that was certainly very brand safe, but also very generic in the sense that it appealed to everybody sort of equally and wasn't particularly demographically focused. And we had a hard time selling that on a direct premium basis because it wasn't a must-buy and because it wasn't narrowly targeted. And so, we said, okay, but we've got great audience and brands are very comfortable being here. So, how do we get the appropriate prices for this inventory? And we looked at the data that we had across other businesses and said, okay, well, we know this person, for example, is buying shoes or we know this person, for example, is shopping for travel or things like that. And when we know that data, we can sell them in a very brand-safe way within Dictionary.com with that information, and that's kind of an anecdote of how it works. And the technology behind that is very complex and only gets more complex over time. And we are meaningfully investing in that right now. And we've seen huge returns and quick returns. We were doing a lot of that manually in the beginning, and we're moving that to a lot more automated over time. We've been moving that to a lot more automated over time. So, we'll continue to invest there, and we have seen leaps of 10%, 20%, 40%, 60% in CPMs on the programmatic stuff when we compare the right data with the right audience and do it on properties that we own and that brands appreciate. That's, I think, your first question. Your second question was, I think, in terms of acquisitions to get scale in digital advertising. I think we've made some content acquisitions. About.com was an example. Investopedia was an example. I think we'll continue to look in that category for opportunities. Things have been priced, I think, pretty expensively for a little while there now, but we found opportunities and we'll continue to look for opportunities there. And I think that scale can be helpful, to a degree, there. In terms of buying ad technology, that's not something we've ever done and probably not something we're going to do in the future. We like to build those things, and we like to partner on those things. Obviously, we've had a massive partnership with Google in terms of ad technology for over 10 years, and that's worked out very well for us. And when these markets are competitive, we think that we can capture the lion's share of a lot of the ad technology revenue through bidding it out to providers and getting a good share for ourselves. So, I don't see us making acquisitions in that category, but I think we could on the content side.
Eric J. Sheridan - UBS Securities LLC: Thank you.
Operator: And we can take our next question from Mark Mahaney with RBC Capital Markets. Your line is now open.
Mark Mahaney - RBC Capital Markets LLC: Thanks, wanted to ask a couple of questions back to HomeAdvisor. You talked about that very material increase. I think you said 2,000 bps in terms of the retention rate. Could you talk about where you think that can go, how many more things you can do to improve that retention rate, or is that the level that you think is kind of sustainable or mature? And then, can you talk about the long-term margin potential of HomeAdvisor? And then, finally, on the international side, we know you've gone through your restructuring a little over a year ago. Is that International at a point now where you can get sustained growth for HomeAdvisor? Thank you.
Joseph Levin - Chief Executive Officer & Director: Sure. So on your first question, Mark, I think there's step function changes in the model you make to move retention in huge chunks like we did. I don't think you can count on it moving in huge chunks from there, but I also don't think it's mature in the sense the things that will move retention over time is being much more relevant to the service professional and that's quality, that's technology. One of the things I didn't talk about when we were talking about what drives growth and what drives investment is the technology in our matching algorithm. We've invested a huge amount in that matching algorithm. That can meaningfully move retention because there's a number of factors that you put into that algorithm: the specific task; the specific geography; pace, in terms of how to get the leads to which service specialist over time and matching the right consumer with the right service pro. The better you get at that, the more relevant you are to the service professionals and the more they retain. So, I think that over time, we can absolutely move it. We will absolutely move it. But we're not going to see it move in massive leaps. We're going to see it move incrementally, and we'll always have a team full-time on trying to move retention. And our internal goal is to always move that up. I think we will. On long-term margin, we've talked about this a little bit before. Is this a business that, at maturity, could be at 20% or north of 20% margins? Sure. I think that's absolutely in the cards. But near-term, that's not going to be our focus. Our focus is going to be growing in ROI positive ways for the near-term. On International, I think we have now rationalized that. I think it is relatively small. And, I think we can grow from there. The stage over the course of certainly 2014 and over the course of 2015 was stabilize it, stop the unprofitable businesses and then refocus to get to growth. And so, now we're on that stage of refocus to get to growth. I think that in terms of resources and priorities, there is so much ahead of us on the Domestic business that it's hard to prioritize, just given the relative size of the International right now. But we have to focus on it. We're going to focus on it. And, I think we can grow it from here.
Mark Mahaney - RBC Capital Markets LLC: Thank you, Joey.
Joseph Levin - Chief Executive Officer & Director: Next question.
Operator: And we can take our next question from Chris Merwin with Barclays. Your line is now open.
Chris Merwin - Barclays Capital, Inc.: Great. Thanks for taking my questions. So, first one, on HomeAdvisor, which has very good momentum, obviously. But how do you think about the addressable market for the category? Is it big enough in your mind to sustain this type of revenue growth for the next few years? And then, secondly, do you see a pathway towards organic consolidation of the category, even if Angie's List remains independent? And then, just a second question on Vimeo. I know ads are not a priority, you mentioned that, but is there anything else you can do from a product perspective to maybe accelerate monetization? I know you've got an on-demand model now, but maybe you could create an SVOD model where subscribers could get a premium share of content, just curious about any potential ideas there. Thanks.
Joseph Levin - Chief Executive Officer & Director: Yeah. Thanks, Chris, both very good questions. On the total addressable market for HomeAdvisor, we see numbers kind of all over the place. The overall home improvement market is maybe $400 billion or something like that. I could be off by $100 billion, but what's $100 billion between friends? The addressable market within there is what you'd spend on customer acquisition within that $400 billion, and could that be 5%? Could that be 10%? I think those are reasonable numbers in there. So, if you look at us and everybody else in the category, it is, I think, tiny as a percentage of that total spend right now. And so, I think huge room for growth and I do think growth rates are sustainable for a while. Who knows going so far out, but I do think growth rates are sustainable for a while. And I think that there's a lot of things that we can do to be much more relevant to the consumer and the service professional over time. I mean, there's huge businesses built on adjacent services in the category, like home warranty and scheduling and things like this, that have huge offline businesses right now that I do think make sense in this category over time. In terms of organic consolidation, I do think that's possible, if not likely, but who knows? We got to see how the market evolves. On the product at Vimeo, a lot of the things you raised are absolutely things we are thinking about. And, I think we actually think about it in the Vimeo way with the Vimeo creator in mind and the Vimeo consumer in mind, but absolutely things that we are thinking about. We offer our creators the ability to launch their own SVOD service in sort of a very limited way, but we're going to expand that. We have to expand that and allow them to fully offer a robust SVOD solution for themselves. Whether we do an overall Vimeo SVOD offering is something that we're thinking about among a bunch of other things. But it's not a bad idea, and there's certainly merit to that along with some drawbacks. So, it's something that we're thinking about.
Chris Merwin - Barclays Capital, Inc.: Thank you.
Operator: We'll take our next question from Dan Kurnos with The Benchmark Company. Your line is open.
Dan L. Kurnos - The Benchmark Co. LLC: Great. Thanks. First off, appreciate the increased disclosure around this. Hopefully, it will give investors some deeper insight here. I want to focus my questions around Search. High level, no real surprises, maybe a bit more surprise in terms of bucket allocation and pacing. Joey, want to break it into two parts. So let's start with Publishing and, I guess, I'll follow it with Apps. Can you just confirm that Q2 should be a trough for Premium Brands in terms of revenue? Do you have a sense of when, or if, Ask & Other can return a sequential growth? And on the margin side, maybe if you can just address the pretty steep decline to this high single-digit margin on a comparable basis if you exclude the reallocation issues you mentioned earlier and the timing of recovering that margin if possible. And then I'll ask the Apps question afterwards. Thanks.
Joseph Levin - Chief Executive Officer & Director: I might have missed the second question. The first question is when will Apps return to growth?
Dan L. Kurnos - The Benchmark Co. LLC: The questions were trough in Premium Brands in Q2, yes or no. Ask & Other, can it return to sequential growth and how you're thinking about that. And then, the margin question.
Joseph Levin - Chief Executive Officer & Director: Sure. So, on Ask & Other returning to growth, I think it should return to growth after 2016, yes. Well, I do think that Q2 is a trough, although it's hard to say perfectly in a sense because there's tail things that run off and new things that start. So, it's a little imperfect. I can't say it precisely. The second question was on overall Search & Applications margins?
Dan L. Kurnos - The Benchmark Co. LLC: No. On the margin of the Publishing side, there's a pretty steep decline of, call it, high single-digit margin on a comparable basis if you exclude the investment in Daily and the pull out of profit. Just wanted to get a sense of your expectations of timing and recovery in Publishing on the margin side, and how you're viewing that business and profitability in light of the new contract.
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: So, Dan, (32:51) the key factor on margin is, I think, 2015, 2016, Premium is going to be stable in the mid to high teens, give or take. The big decrement you're having is significant decline in revenue against fixed expenses in Ask & Other. And so, that's where you're seeing the decrement in margin across the Publishing businesses. That answer your question?
Dan L. Kurnos - The Benchmark Co. LLC: Yes. No. That's helpful. So, it is mid to high teens in Premium. That's kind of what I was getting at. And then, just on the Apps side, we would assume partnership attrition will continue, so just if that's the right way to think about it. And then on the margin side, given the profitability on consumer, is it fair to say that after the reset, we should start seeing at least incremental improvement in margins, possibly as soon as Q2?
Joseph Levin - Chief Executive Officer & Director: I'll let Jeff answer the second part of that, but on the first part, the answer is yes, meaning I think it is right to think about the partnership continuing to decline.
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: In terms of margin improvement following Q2, I think that you should see general growth going forward, although perhaps not 100% consistent quarter-to-quarter, depending on variability and marketing opportunities, et cetera.
Dan L. Kurnos - The Benchmark Co. LLC: All right. Great. Thank you.
Joseph Levin - Chief Executive Officer & Director: Does that answer your question, Dan?
Dan L. Kurnos - The Benchmark Co. LLC: Yes. No, that's helpful. Thank you.
Joseph Levin - Chief Executive Officer & Director: Okay. Before we go to the next question, I do also want to go back to something Chris asked on Vimeo. To the extent we go think about SVOD offering, I don't think you should think about us as going head-to-head against a Netflix or an Amazon with their content, but the thing about Vimeo is it is a marketplace. It is a creator marketplace, a place where video sellers find video buyers and vice versa. And you look at the fastest growing piece of Vimeo, it is what we call organic sellers meeting what we call organic buyers, meaning we didn't touch the content in any way. It found a platform and it found its audience or vice versa on there. That's growing very nicely and that's something we're going to continue to encourage and put in the tools to help those things happen. Now, I do think within that framework, we may be able to offer more valuable solutions to creators around subscriptions, and to the consumers around subscriptions, but that's kind of the way we think about it. We can go to the next question.
Operator: And our next question comes from Kerry Rice with Needham. Your line is open.
Kerry Rice - Needham & Co. LLC: Thanks a lot. Just a couple questions on HomeAdvisor, I wanted a clarification. In the press release versus the remarks, you mentioned that there was 106,000 paying service professionals. I think in the press release, there is something about 102,000. So, maybe what's the difference there?
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: The 106,000 is just as of today.
Kerry Rice - Needham & Co. LLC: Today. Okay. And then, I know, again, in the remarks you mentioned that you spent heavily on TV. It tripled. But have you changed the mix as you went through 2015, maybe in 2016, or you continued on TV, scaled back online, or is there any changes there? And then, not a lot of discussion on Other; Shoebuy's in there and obviously had a fairly impactful Q4. Should we think that as not being strategic and you guys looking to do something with that or any context on how we think about Other going forward? Thanks.
Joseph Levin - Chief Executive Officer & Director: Sure. On HomeAdvisor marketing, we're growing all forms of marketing. So, television is growing, but so is online and all channels are growing. So, television is certainly growing faster than other channels, so as a percentage of total spend, that that'll be higher by definition. But we're growing all the channels. On the Other segment, it is other in the sense that it doesn't fit naturally within any of the four main segments. So, I suppose you can read something into that. It doesn't mean we need to do something there or we need to sell or make a big move there. It just means it doesn't naturally fit within the other categories. And so, if there is something to do with it over time, we will. And if there's not something to do with it over time, we won't.
Kerry Rice - Needham & Co. LLC: Thanks. Maybe just one follow-up clarification, there was some discussion earlier on the call about, I think, the Premium Brands. And I know that was about $300 million in 2015. Was that discussion about that same level for 2016 or was that just specific to 2015 and the breakout between the different components of Premium Brands?
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: I think if you look at what we say about Publishing, we say that Publishing will decline next year, driven entirely by the Ask & Other businesses.
Kerry Rice - Needham & Co. LLC: Okay. That's helpful. Thank you.
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: We'll take one more question, if there are any.
Operator: And this final question will come from Heath Terry with Goldman Sachs. Your line is open.
Heath Patrick Terry - Goldman Sachs & Co.: Great. Thank you. I was wondering on the guidance in the Search & Applications business EBITDA for this year, can you give us a breakdown or just even a rough idea of sort of what the second half of that is going to look like? Just trying to sort of better understand how much of that is related to trends we've been seeing in the business versus the Google deal specifically, as it goes into effect in June.
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: Well, the Google deal goes into effect April 1. So, what we've done is we've given you some guidance on the first quarter, and then you can assume the second quarter's lower. And then, in general, as our businesses generally have, will sort of build from there, maybe not dramatically, but I think you should think about it that way.
Heath Patrick Terry - Goldman Sachs & Co.: So, when you say build from there, is that suggesting that second quarter is going to be the low point in the Search & Applications profitability?
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: Yeah. Really, that's what we said earlier.
Joseph Levin - Chief Executive Officer & Director: Well. Yeah. But, I think, that's true on the Publishing side in terms of Q2 would be down from Q1 and should grow from there. And on the Application side, it's a little bit more complicated because remember, as I was starting to say before, there's a tail on that business. So, there's revenue from prior practices that continues to flow in over the course of Q2 and, really, longer than that, but certainly, most pronounced in Q2. So, I'm not sure that Q2 will be down from Q1 in the Applications business, but I'd still think of Q2 as probably a trough or close to a trough in the Applications business.
Heath Patrick Terry - Goldman Sachs & Co.: Okay. Great. Thank you.
Joseph Levin - Chief Executive Officer & Director: Sure.
Jeffrey W. Kip - Chief Financial Officer & Executive Vice President: Thanks very much, everybody. And, as always, we are around if you have additional questions. Thank you.
Joseph Levin - Chief Executive Officer & Director: Goodbye.
Operator: Thank you for your participation. This does conclude today's program. You may disconnect at any time.